Operator: Good morning, my name is Vincent and I'll be your conference operator today. At this time, I would like to welcome everyone to the MEG Energy's 2025 Q1 results conference call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. This is Darlene Gates, CEO. You may begin your conference.
Darlene Gates : Thank you, Vincent. Good morning, everyone. And thank you for joining us to review MEG Energy's first quarter 2025 financial and operating results. I'm joined this morning by members of our senior management team, Ryan Kubik, our Chief Financial Officer; Tom Gear, our Senior Vice President of Oilsands; Erik Alson, our Senior Vice President of Marketing; and Lyle Yuzdepski, our Senior Vice President of Corporate Development and Legal. I'll begin the call with opening remarks and an update on our first quarter business performance. And then I'll hand it over to Ryan for discussion of our financial results. I'll conclude with comments on the business environment and our outlook for the remainder of 2025 before taking your questions. MEG had a strong start to 2025. Our strategy of sustainably growing capital returns has led to a 24% increase in funds from operations per share in the first quarter. After funding capital expenditures, strong bitumen production and pricing, we generated $223 million of free cash flow during the quarter, allowing us to deliver $185 million of capital to our shareholders. The work we've done over the past few years establishes a strong financial foundation and lays the groundwork for the next phase of production growth. MEG remains in an enviable position to deliver substantial growth in free cash flow per share, even through uncertain commodity price environments. With oil prices under pressure, we remain focused on maintaining flexibility and discipline. Our low break-even price ensures we are well positioned and we have the ability to adjust spending as needed. We'll continue to balance capital allocation between prudent investment in our business, share buybacks and dividends to deliver long-term value to shareholders throughout the commodity price cycle. In the first quarter, Edmonton WTI to WCS differentials tightened to $12.67 per barrel from $19.31 in the first quarter of 2024. This represents a 34% improvement. Our realized bitumen price benefited from our strategy of diverse market access and tight differentials in all of MEG's market areas, which reflect continued strength in global heavy crude demand. Production was 103,224 barrels per day, consistent with our guidance and delivered at a steam-to-oil ratio of 2.28. Production increased 3% versus the prior quarter, driven by the successful ramp-up of our newest well pad. Strong performance from this new pad contributed to a 5% reduction in steam-to-oil ratio compared to the prior quarter, again validating both our high-quality resource and enhanced well design. Work on our facility expansion project also continued in the first quarter. Engineering and procurement work are well underway and early construction activities have been kicked off in the field. The project delivers attractive internal rates of return across a range of commodity price scenarios, underscoring its robustness even in today's volatile market conditions. It also provides us with the necessary flexibility and optionality to manage our operating and spending plans in a dynamic market environment. Looking ahead, our 2025 production, capital, and operating guidance remains unchanged. We are currently focused on our second quarter turnaround, which commenced April 24th, and I am pleased to share the team has communicated is going well and remains in line with our expectations. Prior to ramp-down, April month-to-date production averaged over 107,000 barrels per day, which highlights the continued performance of our latest well pads and positions us to deliver on a strong second half of 2025. I am very proud of our team and the work they do every day to deliver our operations and project activities safely and efficiently. With that, I'll turn the call over to Ryan to provide more details on our financial results.
Ryan Kubik : Thanks, Darlene. MEG's first quarter operating expenses, net of power revenue, continue to be strong at $7.90 per barrel, including non-energy operating costs of $5.84 per barrel. Process trading costs increased as expected with the start-up of our most recent well pad, and non-energy operating costs will decline into our guidance range as production rises following our Q2 turnaround. Capital expenditures in the first quarter increased to $157 million from $112 million in Q1 of last year, primarily reflecting facility infrastructure costs and investments in our facility expansion project. In Q1, we generated $380 million of funds from operations, an increase of 15% from the first quarter of 2024. This cash flow provides the ability to sustain our business while maintaining a strong balance sheet and paying a sustainable dividend and buying back shares. Thanks to those disciplined share buybacks, we delivered a 24% increase in funds from operations per share as we reduced the weighted average number of shares outstanding. This approach shows the benefits of leveraging our operating results by returning cash to shareholders, and this quarter we continued with that strategy. Free cash flow after all sustaining and growth investments was $223 million, and during the quarter we returned $185 million to shareholders with $159 million in buybacks and $26 million in dividends. Those share repurchases equate to approximately 3% of our outstanding balance at the start of the year. Our commitment to shareholder returns continues, and MEG's Board of Directors has declared our next quarterly dividend of $0.10 per share for payments on July 15, 2025. Thanks, and with that I'm going to turn the call back over to Darlene for closing comments.
Darlene Gates : Thank you, Ryan. I'll leave my remarks with some final comments. OPEC Plus production management decisions and geopolitical tensions are driving market volatility, creating uncertainty and exerting downward pressure on oil prices. We've successfully navigated these cycles before, possessed the expertise to manage them effectively, and will maintain our disciplined focus on the variables within our control. Our premium asset quality, naturally low decline rates, industry-leading operational efficiency deliver a competitive break-even price. It also strategically positions us to withstand commodity price fluctuations. Importantly, global demand for reliable, affordable energy remains strong, and the long-term fundamentals for Canadian heavy oil continue to demonstrate resilience. Should market conditions necessitate, we will adjust spending as needed, prioritizing long-term value while ensuring operational and financial resilience. Before we open it up for questions, I want to thank the entire team again for their hard work. I also want to express my gratitude to our shareholders for your continued support and confidence in our ability to navigate the current business environment and create long-term value. With that, I'll turn the call back over to Vincent to begin the Q&A.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Greg Pardy with RBC Capital. Please go ahead.
Greg Pardy : Darlene, I was hoping maybe we could just dig into that a little bit more. I was going to ask you, how do you think about agility and prudence? And then maybe just specifically related to that, I think you have plenty of off-ramps with respect to the multi-year facility expansion. But I'm just wondering, any color there and thoughts would be appreciated.
Darlene Gates: Good morning, Greg. Thanks for the questions. Catch me if I miss anything in your questions here. Let's start with your first one about agility and prudence. That's a very important question for us, and we're spending a lot of time ensuring people understand the plan. Take us back to the strategy when we rolled the strategy out for MEG back at the business update. We communicated at that time it's designed to be flexible in a dynamic market environment. Today, you don't roll out projects without stress-testing them under various price environments. That has strategically positioned us to know how to handle the project in various environments. We built optionality into the capital program, and that's enabled agility in the lower-price environment and to protect our balance sheet strength. The prudence part is that we can piece the facility expansion project as needed. That's prioritizing long-term value, bringing it back to that focus in that fund cycle. We also will not borrow. We continue to reinforce. We will not borrow to fund the facility expansion project. Putting all this right back to the analysis that we did back in November, we can fully fund this project and our dividend over the next three years at U.S. $53 per barrel WTI and $13 debt. That gives us a lot of resiliency and clearly allows us to manage and navigate our balance sheet. How did we get here? Again, it's just the fundamentals of all the hard work over the last several years. Strong balance sheet. It's de-risked. The current differentials in the ForEx, if you look at the business fundamentals, even in a $50-per-barrel WTI environment, we can maintain the 2025 dividends, maintain our capital program, and execute meaningful additional share buyback. When you put that all together, we feel very confident in our communication right now to continue forward. Having said that, if we need to, as communicated, if we have to, we can adjust. I think that's where you're going with the offerings. What are those available to us? That's that optionality that's built into this expansion project. If you focus on 2025, we're really in a stage of detailed engineering and execution right now. Mostly, you'll focus on a little bit of field construction with a steam generator. That starts to happen in August or third quarter of this year. Your construction component really doesn't happen until the third quarter. And fabrication does not really begin until the fourth quarter with the modules and other processes. That allows us the flexibility to continue to monitor the market, give us off-ramp to not impede the program based on what we're experiencing in the external market. With that, we have that ability to make those choices of whether to continue with the steam generator first and try to get that executed with some pacing on the third processing chain or pace both of them. And again, we'll manage that as we do the expansion.
Greg Pardy : Hopefully, I only asked one question. The follow-up here was just on the upside. The only thing that stood out in your numbers was maybe just a little higher non-energy OpEx. I'm curious as to how much of that is temporary and really related to the additional well pads that are coming on. And then the unplanned maintenance you flagged in the report, was that just simply a function of cold weather? That's it for me. Thanks very much.
Darlene Gates: Thanks, Greg. We'll let you have this one. Non-energy operating costs in the first quarter, as you mentioned, was really expected to increase because of the new pads. Yes, no different message than that. That will equalize as through the year as we increase our production with our fixed cost structure. We expect that to be equalized and, as I mentioned, will be within guidance of OpEx. Cold weather was not an impact for us. It was a one-time event in February with a motor that failed. No impact from the cold weather. The team has been, again, put an intense focus on that management in the January and February period from learnings of past years. And they executed it exceptionally through the cold weather period. It was very profitable. I'll hand it over to Tom if he has anything additional he wants to add in there from what I shared.
Tom Gear: Yes, no, for sure. Thank you, Darlene. Really, with the OpEx, as Darlene mentioned, it's very much expected as we bring on new pads and new wells and those fluctuate through each year. And yes, really exceptional response of the operation and the people through cold weather period that we experienced. As mentioned, the teams have been doing a lot of work around ensuring we do appropriate winterization and definitely a response to knowing it will get cold snaps through that period.
Operator: Next question with Neil Mehta with Goldman Sachs. Please go ahead.
Neil Mehta : I just wanted to follow up on some of Greg's questions around capital allocation in the prioritization. In the November summary, you talked about maybe 40% of your cash flow being available for buybacks, but given the $53 WTI breaking, then obviously there's a little bit less flexibility there. How do you think about whether you're willing to take on a little bit of debt to fund the buyback and how that fits in terms of the priority stack, especially given the discounted valuation that your stock trade set?
Darlene Gates: Good morning, and thanks, Neil, for the question. I'll start with just a couple of comments there and then pass it over to Ryan. I'll just start with the foundation. We will not borrow. Our intent and our strategy does not include borrowing to buy share buybacks during this environment. It's a good question. It's something that, again, we continue to evaluate, but again, our strategy is not to increase our debt. I'll hand it over to Ryan to go into a bit more of the detail on our strategy to get him some soundbites.
Ryan Kubik: Yeah, I mean, fundamentally, it's taken us a long time to get the balance sheet to where it is today, and we certainly want to preserve that balance sheet, keep our strong, resilient business going here, especially in this challenging commodity price environment. We don't intend to borrow to fund any share buybacks. We will continue to return 100% of that free cash flow to shareholders. The foundation of that is a small dividend we're paying with a real emphasis on buying back stock. We do continue to expect, even though you're seeing lower free cash flow today, you are seeing lower share prices. We do expect to buyback a significant portion of the shares outstanding this year, even under today's lower commodity prices. And offsetting that commodity price, obviously, we're seeing a little bit weaker Canadian dollar, and we are seeing some strength in the WCS differential, which offsets the WTI impact. Neil, that may be what you're thinking about.
Darlene Gates: Maybe just, Neil, before we jump to the next question, just to finish that one off. Even at a $50 per barrel WTI environment, we still have a strong meaningful addition of share buybacks in the second half of 2021, even at that price environment.
Neil Mehta : Actually, the follow-up is on WCS differentials. Last quarter, we were all asking you, how are you going to navigate a blowout in the distance? Today, we're looking here at differentials that have been averaging $9 or $10 under in Pad 2. Just curious on your thoughts on the path from here on WCS and your marketing strategy to ensure that you're capturing that relative strength, at least at WCS.
Erik Alson: Thanks, Neil. It's Eric. With unconstrained egress, we continue to see WCS differentials in the $9 to $14 range. As you mentioned, we're seeing tight differentials now, currently sitting in that $9 range for the May and June timeframe, with the second half of the year looking very supportive at roughly $12. Every sour crude supply remains tight, and global demand remains strong. With that, as we think about the markets that we serve, we'll continue to be agile in terms of how we place barrels in the markets with the best netbacks. Really, as we look across our marketing areas right now, I'd say all the differentials in those areas remain tight and very constructive.
Operator: The next question comes from Dennis Fong with CIBC. Please go ahead.
Dennis Fong : My first one is really just related to production operations here. Within the press release, you discussed a little bit about the derivation of lower SOR reflecting and improved reservoir quality as well as optimized well design. Can you talk towards the evolution of the well design and how you think you're able to capture barrels more efficiently in lower SORs?
Darlene Gates: Sure. Good morning, Dennis. We've talked about this consistently, about the completion design of our pads and ensuring that our steam is getting out effectively and out to the resource. As the team has continued to optimize that design, the effectiveness of the steam has continued to improve. It's heating the reservoir, if you put it in simple language, heating the reservoir more effectively and efficiently and allowing increased turnaround on the third up of our pads so they're able to start the pads up because they've heated up the reservoir more efficiently and effectively. That allows us to get a higher peak rate when we start up the pads and then, of course, then that performance of the lower steam to oil ratio comes as a result of that. The second component is around the resource and the development plan that the team has focused on. They're targeting through their delineation program, using technology, using their insights and intel from their delineation program to help prioritize the placement of wells, the prioritization of pads in order to develop the resource net. And you're seeing that transition from both the southeast of the reservoir to also the northwest. We've spent time in our business updates helping people understand what we're so excited about as we look forward to the next development of our pads. The first pad that we just mentioned that started up, it was delayed from last year from the wildfires, but started up this year. Again, just exemplifying the work that the team has been doing by hitting it from very different angles from both the resource development through the technology, the completion and drilling design to then the production into the outlet. When you put that all together, you're seeing industry-leading performance on this latest pad and we're excited, again, that the delineation program from this year looks really promising and the future looks good.
Dennis Fong : Turning my focus towards turnarounds, I know in the business update, your team discussed the potential of extending time between turnarounds, especially as you implement the Christina Lake growth plan as well. Can you talk towards some of the smaller things that you're doing to maybe optimize turnaround duration, become a little bit more efficient in terms of downtime as well as pace of work and maybe turnaround scope as well and just how that relates back to cost and again, managing uptime from Christina Lake?
Tom Gear: Thanks, Dennis, for the question. This is Tom here. There's been a lot of work being done by the teams to both be more planful in these turnarounds, more preparation is key in these things to be able to then optimize the scope to risk manage what gets done each turnaround. I think that's been the single largest focus on the asset right now is we know how to do these. It's a question of being able to make sure it's the right scope at the right time and that's key for the teams as they progress through this and also looking at how we do that work. There's times when it's actually not the best to do it in a turnaround window and how you can optimize that outside of turnarounds. I'd say there's been a key focus on being able to right-size these turnarounds and at the same time, the work being done in this turnaround specifically is towards that strategy we talked about in the business update, which is being able to assure extending the turnaround every four years. Those are a lot of the key pieces. On top of all that, when you talk about what are they doing to deal with the scope and improve within, there's use of technology. And technology is everyone's getting an angle on what can we do to increase the speed and efficiency of executing those turnarounds through a number of technologies on inspection and any repairs that come up. Those are the three key buckets.
Operator: If there are no further questions, please continue.
Darlene Gates : Thank you, Vincent, and thank you to everybody that joined us this morning for our first quarter results conference call. We are excited about the strong start to 2025 and look forward to updating you on our operational performance and return of capital program when we release our second quarter results in July. Take care, everyone, and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.